Operator: Ladies and gentlemen, welcome to the analyst conference call and live webcast. I am Alice, the Chorus Call operator. [Operator Instructions] The conference is being recorded. The conference must not be recorded for publication or broadcast. At this time, it’s my pleasure to hand over to Rohit Aggarwal, CEO.
Rohit Aggarwal: Thank you very much. Ladies and gentlemen, welcome to the presentation of Lenzing’s results for the first 9 months of 2024. Before we begin, I would just like to introduce myself. My name is Rohit Aggarwal, and I’m the new CEO of Lenzing since 1st of September. I’m a strategic business economist and global manager with several decades of experience in leading positions in textile, non-wovens, the chemical industry and have held positions in Europe, America and Asia. Thanks to my broad experience, I’m quite well versed with Lenzing’s core business in all its facets, both in terms of content and geography. I’m very excited about the start and I’ve had some impressions that have been extremely positive. I have the opportunity to already meet many of Lenzing’s employees, and I’ve been impressed with the quality of people at Lenzing. In these first weeks at Lenzing, I also met with a great number of customers and partners across textiles and non-woven industry. What struck me was the loyalty that Lenzing enjoys with customers across the globe. Coming from outside, I knew about Lenzing’s excellent standing in the industry. Talking to our customers clearly confirm this. Lenzing is being very much appreciated and seen as a pioneer in the industry. I’m therefore convinced that there are still many opportunities out there that can be tapped as Lenzing has a unique position in the industry. With today’s presentation of the first 9 months of this year, I’m also starting the dialogue with you all, which I’m very much looking forward to. With me today is Nico Reiner, our CFO, whom you are quite familiar with. Let’s start with an overview of the key developments. Our revenue increased by 5% to reach €647 million in the third quarter and almost €2 billion for the first 9 months. We still had little support from the market side as generic markets have not really recovered and especially the prices for generic fibers continue to remain on relatively low levels. However, we see further increasing positive impacts from our holistic performance program on the top line, which is reflected in the revenue increase. EBITDA significantly increased by 20% and reached €99 million in the third quarter and €264 million in the first 9 months. The increase in EBITDA adjusted is even higher as adjusted EBITDA increased by 80% in the first 9 months compared to the same period in 2023. EBITDA margins continue to increase and were at 15% in third quarter and 13% in first 9 months. The positive development of EBITDA is supported by the steadily improving progress of the performance program on cost excellence, where we are well ahead of plan. Free cash flow was at €50 million in the third quarter and thereby positive for fifth time in a row, leading to a further decrease of our net financial debt. Overall, our performance continues to show positive developments despite the lack of market recovery, more needs to come and will come. Ladies and gentlemen, let’s look at the developments of our markets. According to preliminary calculations, in the third quarter, global apparel retail sales were slightly below both the same period last year and the previous quarter. Chinese consumers, in particular, were reluctant to buy clothing, especially high-priced clothing in a challenging economic environment. In Europe, demand for autumn and winter goods increased slightly towards the end of the quarter. In contrast, in the U.S. the beginning of a slowdown in the labor market and the end uncertainty before the presidential elections initially resulted in a slight decline in consumer spending. Looking at non-wovens, we see a much more stable consumer demand, especially for hygiene products in developed markets. Coming to pricing, prices remained under pressure. Cotton prices fell to a level last seen in December 2020, and the Chinese price of polyester stable fiber fell by 7% over the course of quarter. The market for viscose in China was characterized by good demand, high-capacity utilization of factories across the industry and inventory levels that were well below the long-term average. The market price for viscose in China increased slightly in July and again in early September and was 2% higher at the end of the third quarter than the beginning of the quarter, but still on low levels. Please be aware that we are talking here about generic market prices in China, not Lenzing fiber prices, which are mainly traded at a premium as we have further increased our share of specialty fibers. The price premium for fibers for Tencel, Lenzing, EcoVero and Veocel brands proved to be comparatively resilient. Coming to input costs. We saw energy and chemical costs show a mixed picture in the third quarter. However, what remains unchanged, if you compare those costs to the previous years, most prices are still elevated. Natural gas prices in Europe were almost 4x as high in quarter 3 2024 compared to 2023 and coal prices in Indonesia are 65% higher compared to 2023. Price for caustic soda decreased in Europe in the third quarter, but increased in China and Southeast Asia and remained up to 70% higher compared to 2023. Looking at now the performance program, we saw the relevant markets for us still no or little signs of a sustainable recovery with specialty generic fiber prices continue to remain under pressure and input costs are still on elevated levels compared to 2023. It is, therefore, even more important that we took swift action last year and are implementing a holistic performance program. The program initiatives are primarily aimed at generating free cash flow and improving the EBITDA through strengthened sales and margin growth as well as sustainable cost excellence. It consists of 3 pillars: profitable top line growth with full focus on margin improvement, cost excellence in all we do and free cash flow generation. The overall impact of the program should result in a significant positive free cash flow. Looking at our commercial activities. As previously mentioned, we have had many changes here. We have updated our commercial processes, strengthened our performance culture and commercial teams, upgraded compensation schemes and introduced new sales management tools, just to name a few. As one of the outcomes, we have identified hundreds of new fiber sales leads in all regions in textiles and non-wovens to strengthen our top line growth and increase the margins. One key element to increase the margins is to shift our product mix towards premium fibers. In quarter three, we successfully increased the share of specialty fibers by 14 percentage points, up to now 94%. Looking at pricing, we strengthened our fiber sales pricing with new customers and markets and diversified into higher-margin segments. As a result of our performance program, we increased our average fiber sales price in quarter 3 by 8% compared to quarter 4 2023. The price premium for fibers of Tencel, Lenzing, EcoVero and Veocel brands proved to be comparatively resilient in the same period as generic market prices increased by only 2%. Cost savings are in addition to the positive effects of our commercial results. The Management Board expects annual cost savings of more than €100 million, of which over 50% will be effective this year. And to make it very clear, we are talking about recurring targets with an ongoing impact beyond 2025 as well. Very good progress has been made in the area of product cost and quality through intelligent efficiency improvement measures. Successes have also been achieved in purchasing through operational and strategic measures. Looking ahead, the holistic program is expected to continue to improve manufacturing costs and to leverage further our cost potential, particularly in the area of overhead functions. At the same time, the structural and process improvements addressed will lead to positive effects on sales and margin generation. Performance program is currently well above plan. We can certainly be satisfied with our success so far, but there are still major improvement areas ahead of us in order to maximize our full potential. From an organizational perspective, we continue to focus on strengthening our global sales. At the same time, we are adapting our corporate organization to the changed market conditions and thereby strengthening the position of the Lenzing Group as a leading integrated fiber group. And with this, I would like to hand over to Nico Reiner for an update on financials.
Nico Reiner: Thank you, Rohit, and a warm welcome from my side as well. As Rohit mentioned, the markets, especially textile markets did not help us on the demand side. However, the measures taken in our holistic performance program are driving our revenues and margins. Revenue increased by €32 million in Q3 compared to Q3 2023. Looking at the first three quarters in total, revenues increased by 5% to close to €2 billion. EBITDA increased by €17 million in Q3 compared to Q3 2023 and significantly increased by €45 million to €264 million in the first 3 quarters. Looking at adjusted figures, EBITDA increased by even €110 million in the first 3 quarters. Tax expenses amounted to €78 million in the first 3 quarters of 2024 after €9.8 million in the first 3 quarters of 2023. This increase was partially due to the withdrawal from the Austrian tax group. As a result, net loss attributable to Lenzing shareholders amounted to €135.1 million. Let’s move to the next slide. Looking now at cash flow. Lenzing reduced trade working capital by €110 million from the levels in Q3 2023, and it reached €507 million. With regards to CapEx, Lenzing continues to put a clear focus on maintenance and license to operate projects as part of its performance program and CapEx significantly decreased to €34 million. This compares to €63 million in Q3 2023. As a result, free cash flow increased by 85% compared to Q3 2023 to €50 million. With this, free cash flow has been positive now for 5 quarters in a row. In the first 9 months, total free cash flow increased by €330 million to €192 million. This development shows clearly a positive impact from the measures defined in our performance program. However, looking at assumptions with regards to the fourth quarter, it needs to be considered that seasonal effects such as the 14th monthly salary as well as interest and taxes will have their impact. Let’s move to the balance sheet. On the left side of the slide, we show the development of net financial debt. Net financial debt further decreased by €217 million or 14% compared to Q3 2023 and was at €1.4 billion at the end of the third quarter. Just as a reminder, Q3 2023 already included the impact of the rights issue. On the right side, you see the development of our liquidity cushion. It increased by €52 million or 5% compared to Q3 2023 and reached over €1 billion at the end of the third quarter 2024, which is a result of our clear focus on free cash flow generation. In September, we announced the successful issuance of a $650 million green bond by the Brazilian joint venture, LDC. The bond, which matures on January 25, 2032 and carries a coupon of 7.95% per year, this bond met strong demand from institutional investors. Part of LDC’s new financing structure with a total volume of $1 billion is also a €350 million syndicated loan. With this, LDC converts the existing project financing, which enabled the erection of one of the world’s largest dissolving wood pulp plant into a stand-alone corporate finance structure. It is another milestone for the joint venture after having surpassed expectations in respect of its nominal design capacity of 500,000 tons per year. As you know, Lenzing has a 51% share of the JV and is fully consolidating LDC. Based on the maturity of the bond as well as the terms of the loan, the refinancing led to a positive shift of debt maturities. What you see here are the maturities after the refinancing as of October 31 and not September 30. Please note that the €500 million hybrid bond is not included in the numbers on this slide as it is treated as equity in our balance sheet. With this, I hand back now to Rohit for the outlook.
Rohit Aggarwal: Thank you, Nico. I can clearly say that thanks to our performance program, the operational performance in the first 3 quarters of 2024 was much better compared to the first 9 months in 2023. Market visibility remains low, and we cannot predict when a full market recovery will occur. But so far, we assume stable demand in pulp, and have a cautious outlook on the generic fiber market development for the remaining of the year. However, we are not relying on tailwinds from the market. We continue to take the future in our own hands. As a result of the performance program, we expect ongoing improvement of our margins and on the cost side we expect positive impacts from our cost excellence activities to continue. We therefore clearly confirm our expectation for the EBITDA in 2024 to be higher than in the previous year. With this, I will hand over back to the operator for the Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Christian Faitz, Kepler Cheuvreux. Please go ahead.
Christian Faitz: Yes. Good afternoon gentlemen. Thanks very much. One question, please. Why is it so difficult at this point in time to get a premium for Lyocell versus standard viscose, at least looking at the usual market information letters, is it the price-conscious consumer? Thanks very much.
Nico Reiner: So, thank you, Christian. I will hand over this question with regards to the price difference of Lyocell versus viscose to Rohit.
Rohit Aggarwal: Yes. So, Christian, thank you for the question. I mean the price premiums, it really depends on the fiber types and grades of specialty. And however, as I am sure you understand, it’s very difficult to comment on Lyocell pricing in the market right now. And it dictates on two counts. One is the overall market conditions, which we have spoken about earlier and also in terms of what we see as the landscape in the market from a supply standpoint. So, again, our focus remains very much on helping to increase the premium of our specialty fibers, and that’s where we are focused right now to make sure that we are looking to push price development into quarter four, and we see clearly that we are focused on our specialty products to improve irrespective of where the market prices and market price developments go.
Christian Faitz: Okay. Understood. Thanks very much.
Operator: The next question comes from the line of Sebastian Bray, Berenberg. Please go ahead.
Sebastian Bray: Hello and thank you for taking my questions. Rohit, good to have our first call, I have a few, please. My first one is on the use of revaluation adjustments and their incorporation into EBITDA. My understanding is that this was worth about €20 million or so in the first nine months of the year. Can this work the other way in 2025 if timber prices come down? Namely, could we have a year where, let’s say, EBITDA is weighed upon by €50 million or so? Does this have any implications for the covenants that the company has? My second question is on financing, depending on your definition of net debt to EBITDA and the extent of consolidation, it looks as if Lenzing is going to finish the year between 4x and 5x net debt to EBITDA. Is equity financing still an option that is on the table? And my third one is on working capital. Is there any factoring or any other debt-like instrument that is not included in the net debt that is used to keep the level of working capital down because the performance has been very strong? Thank you.
Rohit Aggarwal: Thank you, Sebastian. So, we will take one question after the other. So, the first question with regards to the revaluation of our biological assets. So, if it is possible that it will also go the other way around. Is that correct, Sebastian?
Sebastian Bray: Yes.
Rohit Aggarwal: So, I will hand over this one to Nico Reiner, please.
Nico Reiner: Yes. Thank you, Sebastian. So, if you are relying here on the valuation of the biological asset, which we do have in Brazil, yes, for sure, we are based on IFRS, and we have to valuate this asset on market prices. And basically, there is also a possibility to go in another direction if market prices are coming down as you are speaking about that. But on the other side, we are feeling quite well with our asset over there and the valuation of the assets. So, that would be my answer to this question.
Rohit Aggarwal: Now, with regard to the second question, Sebastian, with regards to the financing, can you repeat the actual question at the end? I couldn’t understand that clearly.
Sebastian Bray: Is the company looks depending on your definition of net debt to EBITDA, if it’s going to finish this year at 4x to 5x, is equity that’s quite high. Is equity financing, namely raising equity to up debt still an option?
Rohit Aggarwal: Okay. Thanks. So, I will hand over this question as well again to Nico Reiner, please.
Nico Reiner: Yes. Look, basically we are very forward-looking and professionally managing our capital structure. And with this regard, we are always looking at all available tools. But basically, at this point of time, I cannot comment on any potential equity what you are talking about. So, it’s absolutely normal business that we are managing our balance sheet in a professional and forward-looking way.
Sebastian Bray: Thank you. And my last question, just to clarify was on the working capital. So, is there any factoring or any debt-like instrument like that, that could mean that the actual net debt is understated. So, does the company use factoring? And if so, what’s the quantum, because the working capital performance has been very strong?
Nico Reiner: Yes. So, basically, factoring is very common and multiple companies use the tool. Yes, we use it also partially for managing our receivables, yes, that I can confirm. But overall, I have clearly to highlight that our holistic performance program, which we brought into place is significantly supporting the development of the working capital. So, therefore, I think that’s also very important to take this into consideration, and we are also intensively working on the development of our working capital going forward. But on the other side, we need to be realistic at one button is received on the working capital side. I would not see much more room to maneuver just to tell that also here clearly.
Sebastian Bray: That’s helpful. Thank you for taking my questions.
Operator: The next question comes from the line of Isha Sharma, Stifel. Please go ahead.
Isha Sharma: Hi. Good afternoon. I would like to follow-up on Sebastian’s question, please. So, if we look at your hybrid bond which matures next year and then the €500 million debt maturing this year and next, it’s just about covered by our current liquidity. If equity raise is not something you can comment on, could you maybe give us a timeline when do you have to take this decision, because looking at your free cash flow, it was helped a lot this year by net working capital and that might not be something that you can repeat next year? So, if you could please help us with the moving parts of how we should think about your refinancing from this year to next? That would be my first question. And the second one is on interest expenses. We saw a step-up here in Q3. Is that a good benchmark that we should consider for the coming quarters? You also mentioned some seasonality, if you could please clarify what we should think about there? And then the last one is just a remark, you have removed a few slides from the presentation, which showed price development of different fibers and also Lenzing specialties pricing versus generic fibers. These are very helpful always. Can we expect them to reappear in the next quarters, or is this the new set that you are going to be using going forward? Thank you.
Rohit Aggarwal: Thank you, Isha. So again, we will go one question after the other. First one, I would give to Nico Reiner with regards to the potential or timing with regards to financing decisions that will need to be taken next year.
Nico Reiner: Yes. Thank you, Isha. And look, when I think about the capital structure of Lenzing, first of all, we are very proactively and professionally managing our capital structure. Secondly, if you think about the development over the last, let’s say, 21 months, you can see clearly that we have taken always very substantial action when necessary. So, when it comes for the capital injection in 2023 of €400 million, we have done the maturity extension of €250 million. We have brought in place a very well delivering value creation program. We have now done very successfully with a high demand from investors, the refinancing of LDC. So, I can comment, we are doing this proven and evidenced professional management of our balance sheet going forward. So, that would be my comment to your question.
Rohit Aggarwal: Good and second question was with regards to the financing costs, if what we have seen now in the third quarter of the financing cost can see as a benchmarking for the next quarters to come, again, Nico Reiner?
Nico Reiner: Yes. If you look into the financing costs at this point of time, there is always a little bit of a fluctuation over the quarters. It would be probably better for you not only to look on a quarterly basis, but also to look on a nine-month basis for your assumptions. That would be my comment in this regard.
Isha Sharma: And then with regards to your remarks on the content of the presentation, as always, I mean we are looking at each – at the presentation each quarter, what makes sense also, we are adapting that, but Niko or Rohit, any additional comments to that?
Nico Reiner: Yes. Thanks Sebastian. I think the comment is clear. We continue to look at, as I have said, to see how best we can communicate where the company is and how we are moving forward. And therefore, to bring out those key elements that would allow you all to get a better feel on how we are steering the group going forward. At the right time, if we have more in-depth discussions on our strategy and on our path going forward, we will be happy at the right time to share more content as needed that gives you a little bit more insight and granularity to how we are moving forward with our pricing or other elements of the business.
Isha Sharma: If you are taking requests on the content, it would be great to have a better view on the pulp section going forward also quarterly, something that we calculate ourselves, but it would be great to have more details on only if you are taking requests there.
Rohit Aggarwal: Yes. Thank you, Isha. We will keep that in mind. But what we continue to kind of mention that Lenzing is an integrated fiber producer, that’s where we are really focused. Pulp is a critical strategic backward integration for us as well as we use that for part of that volumes to trade effectively. But really speaking, we are very focused on ensuring that our position as an integrated fiber producer remains in focus.
Operator: The next question comes from the line of Sebastian Growe, BNP Paribas Exane. Please go ahead.
Sebastian Growe: Yes. Good afternoon everybody. Thanks for taking my questions and letting to speaking to you in this format. The second question I have is around the cost savings program. And you said in the presentation that this is well above target. The year is almost done. So, I would be interested if you could specify in more detail what’s greater 50% of the more than €100 million target run rate might ultimately be. And against the backdrop, apparently, I am interested in what savings we might expect from that program going into ‘25. And Rohit, if I may ask one question specifically to you. And as you have only joined the company recently, I would appreciate if it’s – I understand it’s still relatively early days, but I would be interested whether you have spotted obvious things you would do differently and whatever comes to your mind that you want to share at this point, I am happy to take it.
Rohit Aggarwal: Thank you, Sebastian. Now, first question with regards to the performance program, how we call it. So, what we have seen this year already as a saving and what we expect for the next year. This one I would give to Nico Reiner, please.
Nico Reiner: Yes. Thank you, Sebastian. When you look, we have communicated that we want to achieve €50 million improvement in 2024, and we want to have an improvement of €100 million in 2025 always compared to the basis in 2023. And what I can communicate here is that we are very positive on our performance program that we will not only deliver these numbers, we will over-achieve these numbers going forward, not only in 2024, but also in 2025. So, therefore we are very confident about the program, and we are intensively continuing it to shape and strengthen the competitiveness of Lenzing going forward into the future.
Sebastian Growe: If I may quickly come in here, wouldn’t this require at some point in time and why not now raising that very €100 million target to a new number?
Nico Reiner: Look, I think we have a very precise communication to the capital market, and we do guide only on EBITDA. That’s our key number, what we guide to the market. And so therefore, I think we want to deliver, first of all, 2024 and get our homework done. And then we can talk about probably any adjustment to this topic when we move into 2025, but that’s a discussion which we need to take internally.
Sebastian Growe: Then the next question was addressed to Rohit, some insights from your first a bit more than two months now, planting.
Rohit Aggarwal: Yes. Thank you, Sebastian, for the question. Let me share with you for the last 8 weeks to 12 weeks that I have been around here. And I have taken the opportunity to actually go out and get a 360 degree view on where the group sits today. So, both talking to people outside the company, but also discussions internally to understand where we see further opportunities for the group to move forward. And here, I can confirm that what pleases me with two things. One, the fundamentals are pretty much intact in which Lenzing plays in. I mean the growth of the wood-based cellulosic fiber market growth will remain and that growth will remain quite strong for two factors. One is the overall cellulosic gap that you may be aware of, which is cotton is flat, the world still needs more cellulosic fiber. But also, what is interesting, talking to our CEOs of our customers and non-woven in some of the clients and brands in textiles, it’s clear that the sustainability is now front and center on everybody’s mind, and it’s a big topic in most of the Boardrooms today. And therefore, for us to be able to partner with our customers to help them achieve their goals would be a way that Lenzing could see tremendous opportunity for further development of this premium and specialty fibers. So, from where I kind of sit, it’s early days still, but I see a lot of opportunity for us as to be able to continue to position ourselves at the forefront. Second thing is we are committed to ensure that we are spending efforts and resources on innovation and on what’s the next big thing. And for that, both internally and externally, we have a radar to be able to invest and bring out and scale technologies that could be the next generation. And therefore, you see in the announcements, we have made where we have kind of gone free [ph] to textiles participation and things like that are going to be part of Lenzing’s next stage of its journey. So, again for me, it’s still early days, but I feel excited about what’s coming ahead and where Lenzing Group can shape for the future.
Sebastian Growe: It sounds good. Thank you very much.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Rohit Aggarwal for any closing remarks.
Rohit Aggarwal: Thank you very much. Just to sum it all up, I mean you heard today that the markets we are not getting enough support, a little support from the relevant markets. However, we see a positive impact coming from our own self-help on our performance program, both on our margins and our costs in the third quarter. As a result, EBITDA developed further in the right direction and free cash flows have been positive now for five quarters in a row. We will be giving you the next update with the full year figures on March 14th. And at this stage, then I would like to just thank everyone, and we would like to close the call. Again, thank you very much, ladies and gentlemen, for joining the call today.